Operator: Greetings, and welcome to the CVR Energy Second Quarter 2014 Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation (Operator Instructions). As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Jay Finks, Director of Investor Relations. Thank you Mr. Finks, you may begin.
Jay Finks: Thank you, Kevin. Good afternoon everyone. We very much appreciate you joining us this afternoon for our CVR Energy second quarter 2014 earnings call. With me are Jack Lipinski, our Chief Executive Officer and Susan Ball, our Chief Financial Officer. Prior to discussing our 2014 second quarter results, let me remind you that this conference call may contain forward-looking statements as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. Without limiting the foregoing, the words outlook, believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements whether as a result of new information, future events or otherwise except to the extent required by law. This call also includes various non-GAAP financial measures, the disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures are included in our 2014 second quarter earnings release that we filed with the SEC this morning prior to the opening of the market. With that said, I'll turn the call over to Jack Lipinski, our Chief Executive Officer. Jack?
Jack Lipinski: Thank you Jay and good afternoon everyone and thank you for joining our earnings call. I hope you had the opportunity to listen to the CVR Partners and CVR Refining second quarter earnings calls that were held earlier today. On July 29th CVR Refining experienced a fire at their Coffeyville refinery. For our call today Susan and I will first address our second quarter results so that in my closing remarks I can discuss the incident at Coffeyville. Today we reported CVR Energy’s second quarter consolidated adjusted net income of $75.1 million or $0.87 per diluted share, as compared to $124.5 million or a $1.43 per diluted share in the second quarter of 2013. Susan will provide more details on our financials here shortly. We continue to return cash to our shareholders through special and recurring dividends. On July 17 we declared a $2 per share special dividend to be paid on August 4 to stockholders on record of July 28. We also announced today a quarterly cash distribution of $0.75 per share which will be paid on August 18 to stockholders of record on August 11. This brings our 2014 cumulative cash dividends paid or declared to $3.50 per share. Now let me address our individual business segments. This morning CVR Refining released their second quarter results, the 2014 second quarter adjusted EBITDA was a $192.9 million and that compares to $250.6 million a year ago. CVR Refining also declared a second quarter distribution of $0.96 per common unit. CVR Energy owns approximately 66% of the common units of CVR Refining and therefore receives a proportional amount of distributions from CVR Refining. CVR Refining’s total throughput for the second quarter was approximately 212,000 barrels a day. Coffeyville processed approximately 131,700 barrels a day of crude and Wynnewood processed approximately 80,300 barrels a day of crude. Regarding our fertilizer segment this morning CVR Partners announced a 2014 second quarter adjusted EBITDA of $25.7 million and that compares to $44.1 million in the second quarter of 2013. CVR Partners declared a 2014 second quarter cash distribution of $0.33 per common unit. CVR Energy owns approximately 53% of the common units of CVR Partners and will receive a proportional amount of CVR Partners distributions. Right now I’ll turn the call over to Susan to talk about the financials in more detail and then she’ll turn it back to me, thank you. Susan.
Susan Ball: Thank you Jack and good afternoon everyone. Net income attributable to CVR Energy’s stockholders was $83.7 million in the second quarter of 2014 as it compared to $183.4 million in the second quarter of last year. Non-controlling interest was $60.3 million for the second quarter 2014 as compared to $88.3 million in the same period last year. Adjusted net income for the 2014 second quarter was $75.1 million as compared to $124.5 million in the second quarter of 2013, we believe adjusted net income is a meaningful metric for analyzing our performance as it does eliminate the impact of non-cash and other unusual items inherent in our business and provides a more transparent view as to market expectations. The more significant adjustments to net income during the 2014 second quarter to drive the adjusted net income or adjustments related to the increase or decrease on our inventory values that are realized under first in, first out or the FIFO inventory accounting method. We realized a favorable FIFO inventory impact of $24.3 million and our net derivative gain of $35.9 million which was further adjusted by the current period settlements of $33.9 million. These adjustments for the second quarter 2013 were a favorable FIFO impact of $24.2 million and our net derivative gain of 120.5 million which was further adjusted by the current period settlement at that time of $14.7 million. These growth adjustments to net income are reduced for the portion that is attributable to the non-controlling interest and has been further reduced for the net tax impact associated with the adjustments. Our income tax rate declined to approximately 24% during the 2014 second quarter as compared to approximately 27% in the prior year period. As noted on previous calls, our effective tax rate is lower than the expected statutory rate primarily due to the reduction of income that is subject to tax associated with the non-controlling interest in CVR Refining and CVR Partner’s earnings as well as benefits related to domestic production activities deduction and state income tax credits. Overall, our reduced results period-over-period were driven primarily as a result of reduced refined margins in the petroleum segment and lower realized UAN prices in the fertilizer segment as discussed on both of our subsidiaries’ calls earlier today. I will now turn to the specific performance of our two business segments impacting our overall quarterly results. CVR Refining’s adjusted EBITDA for the 2014 second quarter, as Jack previously mentioned, was 192.9 million as compared to 250.6 million in the same period in 2013. In the second quarter, 2014, CVR Refining's realized refining margin adjusted for FIFO was $13.96 per barrel as compared to $19.18 in the same quarter of 2013. Driving this decrease was overall lower NYMEX 211 crack spreads and a negative group three product basis. This overall decrease was partially offset by the increased throughput for the second quarter of 2014 as compared to the second quarter of 2013. The crude throughput rates for the second quarter of 2014 approximated 212,000 barrels per day, as compared to approximately 193,000 barrels per day in the same quarter last year. As of June 30th, CVR refining had open commodity derivate positions of 15.8 million barrels at an average fixed price of $27.82 per barrel. The open commodity derivative positions were comprised of approximately 81% for distillate crack swaps and 19% for gasoline crack swaps. As discussed earlier, CVR refining announced the 2014 second quarter distribution of $0.96 per common unit with $48.3 million to be paid to the public unit holders and 93.4 million to be paid to CVR Energy. CVR Partner’s second quarter adjusted EBITDA was 25.7 million as compared to 44.1 million in the same period last year. The decrease was primarily associated with lower realized UAN prices in the second quarter of 2014 as compared to the prior year’s second quarter, partially offsetting the overall decrease or higher UAN sales volumes in 2014. The partnership announced a cash distribution of $0.33 per common unit for the second quarter of 2014 as the 24.1 million to be paid, 11.3 million will be paid to the public unit holders and CVR Energy will receive 12.8 million. CVR Energy ended the quarter with cash and cash equivalents of approximately $998.7 million on a consolidated basis which included $78.5 million held the CVR partners and 420 million at CVR refining. As such CVR Energy held cash on its own at 500.2 million as of June 30, 2014. As of July 28, the consolidated cash and cash equivalents were approximately 1.1 billion, which included 86 million at CVR Partners and 457 million at CVR Refining, excluding the cash at our two subsidiaries, we held cash of 513 million. In the last week of June, CVR refining completed a second underwritten offering which generated approximately 164 million in net proceeds, the proceeds were then used to redeem an equal number of common units from CVR Refinings which is a wholly-owned subsidiary of CVR Energy. On July 24, the underwriters exercised their option to purchase an additional 975,000 units which generated approximately $24.6 million in net proceeds and no change in units outstanding. As a result, CVR refining continues to have 147.6 million units outstanding, of which approximately 34% is owned by the public and 66% is owned by CVR Energy. Total consolidated debt including current portions as of June 30 was approximately 676 million, CVR Energy has no debt exclusive of the debt that resides at CVR Refining and CVR Partners. We have a strong consolidated balance sheet with both of our business segments positioned very well for continued growth. With that Jack I will turn the call back to you.
Jack Lipinski: Okay, thank you Susan. As I mentioned earlier on July 29, CVR Refining experienced a fire of its isom unit at Coffeyville refinery. The fire was extinguished in less than an hour and the isom unit itself suffered limited damage. However, the refinery was shut down subsequent to the fire being extinguished due to issues with its distributed control system. The fire damaged data and power cables leading to a critical data center at the plant. CVR Refining is currently evaluating the damage and estimated cost of repairs based on our preliminary assessment of the damage is currently anticipated that the refinery could be down for approximately four weeks from time of the incident. During the downtime it’s CVR Refining’s intention to accelerate some of the planned maintenance for 2014. CVRR had planned a seven day shutdown of the number two crude unit and number two vacuum units for de-caulking and unit cleanups. That work will be accomplished while the plant is down. Also during the current downtime it is planned to pull forward certain activities originally slated for the facility’s scheduled maintenance turnaround in the fall of 2015. This includes certain utility systems that can only be worked on when the entire facility is down. Clearly and more importantly than the damage caused by the fire was that four employees of CVRR were injured and subsequently transported to a Tulsa hospital which they were in and they remain hospitalized at this time. Our focus is to continue to provide support and assistance to our injured co-workers and their families. All of them remain in our thoughts and our prayers. Clearly this incident is not indicative to CVR Refining’s focus on safety. CVRR remains steadfast in its commitment to providing a safe environment for employees across their entire company. To the credit of CVRR employees some significant safety achievements were reached during this year’s second quarter. In May employees at the Wynnewood refinery celebrated one million man hours without having loss time injury. This follows their January achievement of one year without an OSHA recordable injury. And in June employees at the Coffeyville refinery surpassed two years without an OSHA recordable injury and also recorded two million man hours without any loss time injury in April. You know clearly this latest incident overshadows those remarkable results but again CVRR is committed to providing a safe workplace for everyone. I’d like to thank each and every one of you for joining our call today, I do recommend that you go back and listen to the recording of our earlier calls which can be found on the website for CVR Partners for CVR Refining. And operator with that I’ll turn this over to you for questions.
Operator: Thank you. (Operator Instructions) Our first question today is coming from Jeff Dietert from Simmons, please continue with your question.
Jeff Dietert - Simmons: Good afternoon, Jack. Yes, we talked about Coffeyville a fair amount on the CVRR call, on CVR Refining call so I might just -- you know one of the things you’ve done historically is invested in multiple refineries within the CVR Refining portfolio and diversify some of the one asset risk and I was curious what the potential looks like for acquiring additional refineries and maybe dropping them into CVR Refining and [indiscernible] Refining and buying them directly, what’s that market look like? Is that a significant focus of management at this time?
Jack Lipinski: Well acquisitions in general are a major focus, just like organic growth and we have a number of projects, particularly in the refining subsidiary that are very, very attractive going forward so we intend to continue to invest there. But CVR Energy is basically an entity that has no debt and as Susan told you has about $500 million of cash and we are confidently looking for creative acquisitions and you know we believe that at some point in time there will be assets that will come up that will fit our bill. And that we’ll be able to acquire either at CVRR or CVR Refining. I can’t pinpoint you to any one right now but there’s -- we've gone through a very high cycle on fracs that we’re now down into the normal range of what we can expect longer term and when that happens you tend to see assets come up for sale. And I can pretty much guarantee we’re going to be in the next.
Jeff Dietert - Simmons: And is it the intent to find something within existing footprint, something that’s synergistic with Wynnewood and Coffeyville or could it be something outside the current footprint. What criteria do you look for from attractive acquisitions.
Jack Lipinski: Well I think the footprint has changed, the market has changed, the Gulf Coast refiners are no longer distressed compared to the Midcon. Midcon refiners are doing well. If you look at where we operate in pad 2, group 3 are only six refineries. So the likelihood -- be happy to but it’s a pretty tight group, but you have the Midcon, you have the Rockies, you have the Gulf Coast which now will have access to crudes that are much favorably priced. They have export opportunities. I’ve said it before I am somewhat reluctant to look at the West Coast, particularly California just because of the regulatory and business environment there. And right now the East Coast doesn’t exactly excite me especially with the specter of crude exports. So we will be seeing pressure in New York for those refiners, I believe European refiners will continue to shut down or consolidate and the U.S. will become the exporter of products for at least the Atlantic basin. So my view is anything in the Gulf Coast, anything in the Midcon in Rockies would probably be our sweet spot.
Jeff Dietert - Simmons: Okay. But you had excluded not only California but the specific Northwest as well just from regulatory environment perspective or is the potential for taking cheaper crudes into the Pacific Northwest make that market a little bit more interesting?
Jack Lipinski: It makes that market a lot more interesting, but there has been moves of flood by Washington and Oregon to start with a similar cap and trade or at least [indiscernible] all the things that are going on in California and California as you know has their -- they are basically capped and trade to policy they have the low carbon fuel standard. Ultimately a lot of this will spread across the U.S. but you don’t want to be somewhere where it hits you first. Washington probably worries me less than California and East Coast is, it’s just logistically a problem until some ways it perform somebody figures out how to get a crude pipeline from them.
Jeff Dietert - Simmons: And yes you’ve got the variable distribution refining and fertilizer businesses. Do you see traditional Midstream assets as a potential step forward for the company?
Jack Lipinski: Well yes. And we said this on other calls, if -- we are growing our gathering business. We said publically that we have $30 million to $35 million of discernible EBITDA, we think we have to be a little bit north of that to spend our own adjusted MLP. The interesting thing about having CVR Energy as a parent is that we can actually buy something, that has one and then drop bars into it or vice a versa. So we are looking at Midstream, clearly looking at Midstream, we are clearly looking at refining. That’s in our real house.
Operator: Thank you. We’ve reached the end of our question and answer session. I would like to turn the floor back over to management for any further closing comments.
Jay Finks: Thanks, Kevin. I’d like to thank everyone again today for joining and listening to our conference call today. If you need any information, please visit our website, cvrenergy.com or contract Investor Relations. Thank you.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.